Operator: Good morning, ladies and gentlemen. Welcome to Alithya Third Quarter Fiscal 2023 Results Conference Call. I would now like to turn the meeting over to Rachel Andrews, Vice President, Communications and Marketing at Alithya. Please go ahead, Ms. Andrews.
Rachel J. Andrews: Good morning and thank you once again for joining us for Alithya’s third quarter fiscal 2023 results conference call. The press release and MD&A with complete financial statements and related notes were issued this morning and are now posted on our website. The webcast presentation can also be found on our website in the Investors section.  Please be advised that this call will contain statements that are forward-looking and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. For more information, please refer to the cautionary notes in our presentation and to the forward-looking statements and Risks and Uncertainties section of our MD&A available on our website. All figures discussed on today’s call are in Canadian dollars, unless otherwise stated and we may refer to certain indicators that are non-IFRS measures. Please refer to the cautionary note in our presentation and to the non-IFRS measures section of our MD&A for more details. Presenting this morning are Paul Raymond, Alithya’s President and Chief Executive Officer and Claude Thibault, Chief Financial Officer. I will now turn the call over to Paul Raymond. Paul?
Paul Raymond: Merci Rachel and good morning everyone. Thank you for joining us on the call this morning to discuss Alithya’s third quarter 2023 financial performance. So this morning I am pleased to disclose another very strong quarter for Alithya as we enter the final months of our 2023 fiscal year despite the ongoing uncertainties. There are many important takeaways from this quarter but if I were to highlight only a few I will draw your attention to one, another strong quarter of revenue growth at 19%. Two, a return to the 30% gross margin levels. And three, our first $10 million adjusted EBITDA quarter and perhaps one more thing, a significant cash generation and debt reduction.  We continue to grow our reputation as the trusted advisor that are existing and new clients you turn to help resolve their clinical digital transformation challenges. In the third quarter we added 37 new clients and generated 83% of our revenue from repeat clients. On the gross margin front as we explained the past we continued to increase our permanent employee ratio as we replaced some contractors and grew our portfolio to higher value services. We are now back at 30% gross margin threshold and we continue to focus on improving this as we roll out our smart-shoring strategy.  Finally, we reached the $10 million adjusted EBITDA as we continued to implement our strategic plan into progress on all fronts. It should also be noted that Q3 included an extended holiday season for some of our clients as a temporary cost cutting measure which translated into less billable hours for Alithya as well as a slowdown in some of their key learning activities. We believe Alithya is a favorable position to meet the go to trusted advisor that our clients needed in these uncertain times. It will not be less technology in our lives 10 years from now. As our clients navigate through their challenges, they are looking for trusted partners who can rapidly deploy proven technology solutions to help accelerate automation and improve their efficiency. We have demonstrated that our model is sustainable and as we reach critical mass that Alithya is a favorable position to generate increased value from our rapid growth. During this past quarter, we continued to fill our healthy pipeline with projects for the quarters to come. We also took great strides towards the fulfillment of objectives outlined in our long-term strategic plan as we continue to implement measures designed to go up the value chain and to improve efficiencies. We see continued opportunities ahead to increase our profitability profile as well. Our business continues to be fueled by strong bookings in Canada and the United States despite global economic uncertainty and recessionary warning signs, which I will address in a few moments. We are also encouraged by our funnel and our bookings remain the best predictor of what's to come. As I said, we added 37 new clients in the third quarter and our bookings reached $137 million, which translates into a book-to-bill ratio of 1.04. However, it's important to keep in mind that when we remove the recurring revenues from our two large 10-year contracts with Beneva and Québecor, the book to bill ratio for the rest of our business would be 1.2. As for a trailing 12-month basis, the bookings were $509 million, which translates into a book-to-bill ratio of 1, but again this ratio is higher when taking the 10-year contracts into account. Now more on our smart-shoring strategy. So one of our key priorities has been the scaling up of our smart-shoring operations, which currently accounts for about 5% of our billable workforce. For us, smart-shoring provides an option for a wider pool of available talent, including highly qualified experts who enable us to reduce project costs for our clients and to increase our competitiveness and value. Since opening our first smart-shore operations in Morocco in 2021, we've added highly qualified experts in Eastern Europe and India through our M&A strategy and through new hirings. Datum solution is just one example of how our M&A integration strategy is paying dividends along with leveraging the cross selling opportunities and prospects for longer term generation. In line with the latter, we're quite pleased with our data and solutions sequential revenue growth of over 20%. We are also targeting gross margin improvements through a reduction in the number of subcontractors we engaged to carry out our projects. In the third quarter, transitioning to regular employees reduced our subcontractor workforce by 6% in Canada. It must be remembered that the transaction to acquire R3D in April 2021 included hundreds of subcontractors added to our workforce and we have significantly reduced that number since through full time employee conversion. In fact, we're proud to have returned to pre-R3D gross margin levels in just 18 months, which is a significant feat considering that a two-year timeline was initially targeted to do so.  With further transitioning of subcontractors to regular employees still out on the horizon and with our smart-shoring operations gaining momentum, our objective is to continue to improve our gross margins in the future. Another contributor to gross margin improvement is our push to increase sales of subscription based services. Subscription, software, and other revenue now represent 12.4% of our total revenues.  With that being said, I'd also like to take a moment to provide a bit of additional color on a geographic basis. In Canada, our renewable energy digital business continues to benefit from major nuclear refurbishment projects, echoing an emerging trend that may prove to have long-term benefits for the planet and for Alithya. Globally, there is a growing consensus that the attainment of global carbon reduction objectives will require increased use of nuclear energy. Currently, Alithya is helping three major Canadian energy clients to prepare the landscape and to develop their digital strategies for doing just that. And we proceed deeper integration projects on the horizon for Alithya as those efforts progress. On the local front, we signed a major three-year contract with a large Canadian retailer to assist them in replacing and optimizing their mission critical systems supporting back office operations. And in the U.S., despite a slowdown in the manufacturing sector, our healthcare sector business remains robust. Additionally, initiatives are being developed and implemented to increase the scale of our managed services within our large global projects, which remain solid. In terms of year-over-year business, our combined U.S. bookings have cumulatively increased by 10% this fiscal year. In Europe, Alithya's operations have not been impacted by the economic slowdown being experienced in some sectors across the continent. Despite current economic pressures being felt by Europe's business community, we generated over 25% organic growth with existing and new clients. Before I hand the presentation over to our Chief Financial Officer, Claude Thibault, I'd like to say a few words about our recent announcement concerning our new Chief Operating Officer. On January 12th, we announced the appointment of Bernard Dockrill as Chief Operating Officer effective January 30, 2023. Claude Rousseau who previously held the position will be leaving the organization at the end of the current fiscal year on March 31st, to embark on a very well deserved retirement after having served for over eight years as Alithya’s COO.  I'd like to take a moment to welcome Bernard to the Alithya family. Bernard brings more than 25 years of experience in the managed services, system integration, consulting in the IT industry to Alithya and he now overseas all of Alithya's operations. I'd also like to take this opportunity to sincerely thank Claude Rousseau for his invaluable contribution to Alithya’s growth and success, including the oversight of the merger and integration of more than 10 acquisitions under his watch. Claude will stay on as my special adviser during the transition period until his official retirement at the end of March. Claude has been a partner and a confidant and he remains a great friend and I wish him much health and happiness to enjoy the retirement life ahead. I will now pass it over to Claude Thibault to both to discuss the financial metrics of our third quarter. Claude. 
Claude Thibault: Thank you, Paul. Good morning. Let's look at the numbers in more details. Please turn to Slide 8. Revenues for the quarter amounted to $130.8 million, an increase of 19.2% or $21.1 million compared to revenues of $109.7 million [ph] for the third quarter of last year. Vitalyst and Datum contributed revenues of $12.6 million during this third quarter. Excluding the impact of the acquisitions, which occurred on February 1st and July 1st, 2022 respectively, growth was 7.5%. In other words, we recorded good sustained organic growth once again.  In Canada, revenues increased organically by 6% to $77.5 million. Due to growth across most of our operations, including continued growth from the two long-term contracts signed concurrently with the acquisition of April 2021. In the U.S., revenues increased 47.9% to $48.9 million due again to the Vitalyst and Datum acquisitions, a favorable U.S. dollar exchange rate as well as organic growth also. As for our international operations, they also reported a strong quarter in terms of growth, increasing 24.6% to $4.4 million versus $3.5 million for the same quarter last year, and this despite negative currency impact. Now let's take a look at our Q3 gross margin, which increased by 38.8% or by $10.9 million to $39.2 million, up from $28.3 million last year. As a percentage of revenues our third quarter consolidated gross margin reached the 30% bar that is up 4.2 percentage points over the same quarter last year from 25.8%.  Q3 represents the fourth consecutive quarter of sequential gross margin percentage improvement. The increase in Canada is derived from increased revenues from permanent employees relative to subcontractors, higher average revenue per employee, and higher margin offerings. In the U.S., gross margin as a percentage of revenues increased both in comparison to the same quarter last year and on a sequential basis. The positive margin impact from the acquisition of Vitalyst and Datum improved project performance in other areas of the business and increased average revenue per employee, our domain drivers behind this progression. Now let's look at SG&A. Total gross SG&A expenses in the third quarter totaled $31.2 million, an increase of $6.2 million or 24.8% compared to $25 million in the same quarter last year. The increase was primarily driven by the Vitalyst and Datum acquisitions and an unfavorable U.S. dollar exchange rate impacted $1,000,000 which were partially offset by overall reductions in other expense categories. On a sequential basis, expenses increased by $800,000 from $30.4 million for the second quarter driven by sequential increases in certain discretionary spending categories such as travel, business development, information technology, and communication costs. As well as an unfavorable U.S. dollar exchange rate impact on our U.S. dollar denominated expenses. Both partially offset by reductions in certain other expense categories. While we need to be careful about the timing of certain discretionary expenses as we just saw in the third quarter, and about certain headwinds like inflation returned to some pre-COVID spending levels and possible currency variations, we aim to continue reducing our SG&A expenses with certain initiatives still to be fully reflected. As such, we remain committed to our midterm objective of 20% of revenues, which will also come in part from continued revenue growth. Overall, our third quarter adjusted EBITDA amounted to $10 million, an increase of 122% or $5.5 million compared to an adjusted EBITDA of $4.5 million during the same quarter last year. Net loss was $5.5 million, an increase of 2 million from $3.5 million for the same period last year. The main drivers of the increase are increased depreciation and amortization of intangibles from the two recent acquisitions as well as the increased business acquisition and integration costs, also driven by such acquisitions. As such, our accounting net loss of $5.5 million must be viewed in relation to the $9 million of non-cash depreciation and amortization expense plus $1.3 million of non-recurring business acquisition, integration, and reorganization costs. Despite our higher revenues and gross margin, the increased loss was also driven by increased net financial and income tax expenses and again some increases in SG&A expenses.  Looking at long-term trends on Slide 9, we can see the impact of our acquisitions and more importantly, of our strong organic growth achieved over the past several quarters. Regarding gross margin, we see a similar trend in dollars. As a percentage of revenues, a number of factors occurred in fiscal 2022 which had put some pressure on our performance. But Q3 of this year marks the fourth quarter in a row showing a sequential improvement, highlighting our efforts on improving labor mix, utilization rates, and general project performance. And also reflecting the higher historical gross margins of Vitalyst and Datum. Our long-term adjusted EBITDA trend also reflects our growth and gross margin improvements. I reiterate that the increased net loss of Q3 is mainly the result of non-operational and non-cash elements. With sustained organic and acquisition growth, our continuing long-term initiatives to generate higher gross margins and a steady focus on SG&A, we believe we are well on our way to achieving our three-year financial objectives. Now turning to liquidity and financial position on Page 11. As indicated in our statement of cash flows, our operations generated $34.9 million of positive cash flow in the third quarter from a combination of good cash flow from operating activities of $8.8 million plus significant positive working capital variations. This added to a positive currency impact of our U.S. dollar debt and a positive post-closing adjustment of the Datum acquisition results in a sequential net debt reduction of $35 million, which combined with a growing TTM adjusted EBITDA amount results in a significantly declining leverage ratio from 5.4 times at the end of September to 3.3 times at the end of December. While quarterly working capital variations typically alternate between positive and negative amounts, we do not believe this will have a significant impact on the general deleveraging trend, which our current performance is expected to continue to generate. Now back to you, Paul. 
Paul Raymond: Thank you, Claude. So to recap, I'd like to reiterate the key takeaways from the presentation of our third quarter fiscal 2023 results. First, Alithya has been able to sustain strong revenue growth in uncertain times with our latest quarter indicating 19% year-over-year growth and 37 new clients. Second, we've made tremendous progress in improving our gross margins and we have initiatives in place to expand upon that success in the next quarters and beyond. Third, the continued implementation of our long-term strategic objectives is bearing fruit as seen in our third quarter adjusted EBITDA of $10 million. And finally, a significant debt reduction which feeds into our M&A strategy. We will now take your questions. Julie.
Operator: Thank you. [Operator Instructions]. Your first question comes from Jérôme Dubreuil from Desjardins. Please go ahead. 
Jérôme Dubreuil: Bonjour. Thanks for taking my questions. Two for me. First, congrats on the lower leverage very noticeable in the quarter here. That brings the question of capital allocation. Now, you know leverage has been the pushback from certain investors in the past. Want to see if you feel more comfortable going back to M&A now or if you're happy with the new leverage situation?
Paul Raymond: Bonjour Jérôme. Thank you for the question. No, we're very happy with the debt reduction and we said last time, we'd be focusing on that. So we are in the fourth quarter now, so we're in mid-February. I like the way we're going. M&A has always been at the top of mind. The three key things that we look for right is the right deal at the right price, but also they have to be for sale. So I believe that we're in a position now that if the right deal comes along we're happy with it. Yeah, we have more flexibility now to pull the trigger, but hasn't been a concern for us and there are ways to get there. So we like the position that we're in right now.
Jérôme Dubreuil: Okay. Second question would be on the legacy business that you have maybe in terms of the staffing. Now we are seeing also decent organic growth, wonder how much left legacy business is there in Alithya and do you expect this will further decline in the future?
Paul Raymond: Yeah, we have very little legacy business left. However, we still have some subcontractors that we brought on board as part of the our R3d acquisition. We had to ramp up really fast that contract as we've said in the past. So this quarter, we were able to really decrease the amount of subcontractors and reduce that and replace them with permanent employees. So what that does is we -- our revenue per employee goes up, the margins improve, it has a great impact on our bills and that is our long-term objective as well. So in the coming quarter, we're definitely going to continue to do that. As we have time to catch up, right, so it gives us that flexibility to be able to use more permanent employees and less subcontractors.  The other thing that we have now that we did not have a year and a half ago is the smart-shoring component. So we did not have centers in Morocco and Eastern Europe and India two years ago. So that's also something that we can leverage to bring on board permanent employees to support our customers, which also, again, improves the gross margins and helps us reduce the subcontractor. So we're going to be doing more of that.
Jérôme Dubreuil: Merci beaucoup. I'll pass the line. 
Paul Raymond: Thank you.
Operator: Your next question comes from Amr Ezzat from Echelon Partners. Please go ahead.
Amr Ezzat: Good morning. Congrats on the quarter. I'd like to get an update on how conversations with clients are evolving. Last we spoke Paul, you mentioned that client conversations were healthy and focused on gaining efficiencies. So there was no real slowdown, just wondering if these conversations are still productive, are you starting to see some anxiety set in?
Paul Raymond: Thanks for the question Amr. So yes, so the conversations we have with our customers right now are very much focused on how do we accelerate efficiency projects. If you look at our results for the quarter, we actually had some negative impacts that I think were temporary. We had several customers that over the last minute in December suddenly decided to take a longer shutdown for holiday period and cost cutting measures, whatever so that was an impact on utilization rates for some of our clients. So despite that we had a really good quarter and that was a temporary measure. The other negative impact that we've seen is a slowdown in some of the learning spend, so I think that is probably a global thing where people are spending a bit less on training until they figure out what’s going on. But other than that the rest of our business we are actually seeing a pickup. The bookings are healthy, the projects are focusing more on efficiency. And that’s why you are seeing like our Datum business had significant growth as we cross sell that or introduce that to other customers because of their offerings which are IP based. Really focused on that, on automating and generating efficiencies, and modernizing legacy systems, so making them more efficient. So, now we are seeing a -- I think it is more of a -- I mean, it is the same type of projects we are doing but the perspective from the current side is a bit different. They are saying this project that we are doing, this modernization project is really to drive efficiencies. It is not because it is a nice thing to have or whatever. They are really focused on the projects that are driving efficiency. So for us we see that as a positive.
Amr Ezzat: Okay, so net, net still pretty healthy organic growth is expected? 
Paul Raymond: Yes. 
Amr Ezzat: Fantastic. Then I appreciate the color on the gross margin front. So, like there are a couple of things happening, obviously, inflation may be slowing down a bit, but we're still in high inflationary periods, then you spoke to your smart-shoring strategy, as well as your continued push for permanent employees. So I wonder when we think about gross margin going forward, are there targets that you guys can share with us, like can we see you guys go from a 30% to a 35% plus, is that realistic or am I out there?
Paul Raymond: I think over time, that's realistic. We try to compare ourselves with the best in the industry Amr, so we went from 25-26 last year, and this time to 30. I think there's still room for improvement. We only, like I said, we only have 5% of our workforce leveraging smart-shoring. Some of our very large competitors are up to 50%. So, as our scale grows, we definitely will be using more of our smart-shoring capacity to complement our local teams. So to me, I think there's significant upside potential on the gross margin over time.
Amr Ezzat: Fantastic. And then one last one, just following up on Jérôme’s question. Is there a target net debt to EBITDA you guys are targeting that we should be thinking about, and I understand that quarter-to-quarter if you execute on M&A, it could change but it's still a long-term target?
Claude Thibault: Well, we always said that two to three times was our comfort zone. So it's a fairly broad range. We're generating cash flow, so the operations themselves will be deleveraging. The question is on M&A. So when M&A comes about we take a bit of a specific look, if the acquisition is accretive, the price we're paying, the synergies that could be available. So that will drive our appetite for leverage. And obviously, stock price drives our appetite for equity dilution, so we always want to do a combination of equity and debt. And we adjust the dial depending on both measures. So now yeah, we're with this debt reduction, which we have been somewhat expecting. The dial is going back a little bit more to that, so dilution should be protected everything else being equal. But the range if you want the precise number as we have said before two to three times is probably our comfort zone broadly speaking.
Amr Ezzat: Great. Fantastic. Congrats again, I will pass the line. 
Paul Raymond: Thank you.
Operator: Your next question comes from Vincent Colicchio from Barrington Research. Please go ahead.
Vincent Colicchio: Yeah, Paul, I thought I'd ask about the two R3D contracts. Is there a potential upside going forward from those two? 
Paul Raymond: Yeah, good morning, Vince. Great question. So the contract the way it's structured is really a minimum. So the organizations in question have significant IT spends way above the minimum commitment. So yes, there's potential there for it to do a lot more. And as you know, those two organizations are going through integrations and a significant change. So again, whenever that happens, there are significant opportunities for investments and technology and digital transformation. So, yes we are…
Claude Thibault: They are major shareholders of Alithya, so they have a vested interest in ending business our way in addition to the contract.
Vincent Colicchio: And curious about -- I know you do price increases in January, how are those flow through, whether they meet your expectations?
Paul Raymond: Yeah, our prices increase throughout the year, depending on the date of contract renewals, some are January, some are later in the year. We also price that into all of our new contracts. And, the whole market is aware. I mean, our customers have the same challenges we have in recruiting, in marketing, and in marking salaries to market. So it hasn't been an issue so far. We've been able to price them the increases as they follow the market. Also, a big chunk of our business now is project driven. So within those projects we have more flexibility in how we deliver and how we price and how we structure the delivery of the project. Again, leveraging smart-shoring and then near-shoring and all these things to give us more flexibility in the margins on the projects.
Vincent Colicchio: And one more if I could, I noticed the fixed fee revenue contribution declined sequentially. Is that just ebb and flow and should we expect that to start to recover again going forward?
Claude Thibault: Yeah, it is just ebb and flow, Vince.
Vincent Colicchio: Okay. Thank you. Nice quarter.
Paul Raymond: Thank you.
Operator: Your next question comes from Deepak Kaushal from BMO Capital Markets. Please go ahead.
Deepak Kaushal: Hi, good morning, guys. Can you hear me okay?
Paul Raymond: Yeah, good morning, Deepak.
Deepak Kaushal: Hey, thank you. Just exceptionally strong cash from ops. I'm just wondering if you could give some more color on the nature of that capital reversal. Seems like a lot of it's from a reversal on unbilled revenue. Is that a specific contract, is that related to R3D, and will you continue to see that kind of seasonality in cash from ops? 
Paul Raymond: Yeah, I'm not sure. It wasn't very clear Deepak. Can you repeat the question?
Deepak Kaushal: Sorry, I think I'm having an issue with my headset. Hang on. I'll just pick up. 
Paul Raymond: All right. 
Deepak Kaushal: Hello, can you…?
Paul Raymond: Yeah, we can hear you. We just missed the beginning of your question.
Deepak Kaushal: Yeah, just very strong cash for ops. I'm just wondering on the nature of the working capital reversal. It looks like it's coming from unbilled revenue. Is that contract specific, can you give us some more details on how that came about and will your cash flow cycle going forward always be that seasonal or that volatile?
Paul Raymond: Oh, the anomaly was more at the end of Q2. We had seen the amount of unbilled revenues increasing. It was more a matter of internal setup. It has a lot to do with what day of the week, the end of the quarter falls sometimes and yes, we had a couple of projects that push that up. So the anomaly was there, the amount at the end of Q3 is more indicative of our future quarters. So no, you should not expect a big reversal of that positive we got in Q3.
Deepak Kaushal: Okay, okay, fantastic. And then just stepping back, seeing your solid organic growth, your gross margin shifts, your operating leverage coming back. When I think at a high level of the mix of your business, can you talk a little bit about what percent is recurring, but how that breaks down between project versus managed services, versus IP based and how you might expect that to evolve going forward, are you seeing managed services becoming a bigger and bigger part of your business as you go forward?
Claude Thibault: Yes, yeah. A great question. So 83% of our business is repeat. So existing customers. So you can take that as a sign that we're doing higher value projects for those customers, as the time goes on. The new customers as well, the new clients are all projects that are based at 37 in the quarter, that are based on our newer higher value offerings. So again, it helps with the gross margin as well. We have -- we report now the subscription base recurring revenue that we have and of course, managed services side of things is something that's growing, and it's going to be growing significantly more as we go. So if you look at the acquisitions we've done in the past, they've all been very specialized high end companies that were very good at one type of project with the addition of Vitalyst that has a very strong managed services offering and the addition of data that has a very strong IP based modernization offering. These are things that we combined with all of our existing operations to make sure that we cross sell those things so that now when we sell an Oracle project, an Oracle implementation project, well, we can also sell the managed services that goes with it, or if we sell a Microsoft project, we can also sell the managed services, the training, the ongoing support, and instead of it being a one, two or three-year project, well, it becomes a 10-year relationship with the client. So yes, you can expect that to grow over time as well.
Deepak Kaushal: Okay. Okay. And so when we think about, when Amr asked you about the gross margin potential, and you mentioned, the 35% range, where is that coming from mostly going for, is that from the smart-shoring, is that from higher IP, higher managed services, how do you see that mix playing out in terms of drivers for that expansion? 
Claude Thibault: Yeah, so the first one Deep is the type of business that we do. So if you look at our businesses, we have some areas where the gross margins are over 40%, some areas that are over 50%. So as we roll out those offerings across all of our client base, so that's one of the drivers. So the type offerings it says the number one driver, the second one is really the mix of how we deliver that. So as I said, just in the past quarter alone we reduced the subcontractor headcount by about 6%. So having more permanent employees, that also helps. And the other one is the mix of the locations. So when we bring in our smart-shoring, as you can imagine that the cost of doing the work, whether it's Morocco, Eastern Europe or India are a lot lower. Some of that is to help us be more competitive. So, some of that saving goes to the clients and the other savings, the other part actually goes to increasing our gross margin. So, it's kind of all those three, four items combined that help us drive and you saw it when we did the R3D, I mean, we went from 30% down to 25% in a few quarters just because of the change in mix of the people like subcontractors. We said it would take us two years to get back to where we were, it took us 18 months to get back to 30. So to me, I think and that's not -- to me that's the new floor, we need we need to do -- we need to improve on that. And our objective is to go up much higher than that 30%.
Deepak Kaushal: Fantastic. No, I appreciate that color. It's very, very helpful. And if I can slide in the last one, just a quick update on the M&A environment. I mean, to me, you guys have always been able to find a way to get acquisitions done, however, wherever your capital position is, but from a seller's perspective, are you seeing any changes in the last quarter or so given the changes in the macro, the uncertainty, or is it still kind of as usual? 
Paul Raymond: It's interesting. In some areas, we're seeing a big change and other areas, no change at all. We -- as you know, we've always been very disciplined in our M&A and I want to avoid a fire sale. We don't want to buy something because it's cheap. We want to buy something because it's good and it has great value and that's something that we believe we can leverage across the -- across our platform. So we're actively looking, we're always looking for interesting targets. And, you see our debt position right now, we're in good shape. And if we can't find the rare pearl in the short-term while we are generating cash and building up the war chest. So it's kind of a win-win. Whatever happens we're in a good position. And when the right opportunity comes along, we'll be able to pull the trigger. So we are actively looking.
Deepak Kaushal: So is it fair to interpret that if I may, fire sales are going up, but strategic sales are steady and you're going to stay disciplined, is that the right way to interpret? 
Paul Raymond: Yeah, I'd say that's a good way to interpret it Deepak.
Deepak Kaushal: Okay. Okay, thank you for all the color. I appreciate you taking my questions. 
Paul Raymond: No problem. Thank you for the question.
Operator: Your next question comes from Brian Kinstlinger from Alliance Global. Please go ahead.
Brian Kinstlinger: Hi, thanks for taking my questions. Great to see the recovery in the gross margin. Can you share what percentage of your revenue was delivered by subcontractors in the December quarter compared to the December 2021 quarter? And what are reasonable near term and long term goals for delivery mix as it relates to subs versus direct? 
Paul Raymond: Yeah, thanks for the question, Brian. So we don't publish the overall numbers. But we did the subcontractors, we did say they decreased by 6% overall in the past quarter. And our objective is always to have more permanent employees than subcontractors. I think there's always going to be subs in our world. But if I can get to 70:30, 75:25 mix of permanent to subs, I'd be very happy.
Brian Kinstlinger: And how far do you expect by the end of the year you'll be close to that goal, or will it take longer than that? 
Paul Raymond: Yeah, we don't give guidance on that one. But it's our objective.
Brian Kinstlinger: Yeah. And then lastly, maybe I missed it, but can you highlight from an organic perspective, where demand is strongest versus weakest in terms of verticals? Thank you. 
Claude Thibault: Okay, good question. Because we -- our funnel is pretty strong across the board. I think there's been a bit of decrease in manufacturing in general, not just for us, but just the industry in general. We're seeing demand in manufacturing going down a little bit. But it's pretty stark funnels and are pretty strong across the board.
Brian Kinstlinger: And is there one, X1 that's weak is your one or two where you see the most opportunity in terms of pipeline?
Paul Raymond: No, it's pretty much -- again now other than manufacturing, and maybe training, which is uncertain times, some companies are slowing down their training spend, which is a very small portion of our business. Other than that, now we're seeing strong demand for efficiency type projects across the board. 
Brian Kinstlinger: Okay, thank you. 
Paul Raymond: Thank you.
Operator: And your next question comes from Gavin Fairweather from Cormark. Please go ahead.
Gavin Fairweather: Oh, hey, good morning. Congrats on all your progress. I wanted to start out on [indiscernible] which has certainly been a topic on the call, I think you talked about 5% of your of your labor base being in kind of lower cost geos. Obviously, there are practical hurdles to kind of driving that higher. So I guess, how do you think about how quickly you can kind of add resources in some of these offshore locations and do you have any medium term targets or goals that you could share in terms of that mix for your business over time? 
Claude Thibault: Yeah, sure. Thanks for the question again. Well, in one year, we went from 0% to 5%. So in theory, we should be able to double that in a year. So I'd say if you asked me for an objective, that would be my -- my personal goal would be to double that within a year. Of course, M&A can also impact that. We looked at targets today that have offshore or smart-shore components so that could impact it. But we need to grow that. I think we need to get to a threshold of 30% real fast to be able to compete with some of our larger players out there. And again, I think that's very doable through a combination of organic growth and M&A. But I think we can do that within the foreseeable future.
Gavin Fairweather: Okay, that's great. And so maybe just on an organic basis, like as you're looking to hire in Eastern Europe or Morocco or in India, like how are you finding the talent pools that if you kind of take M&A and put it to the side?
Paul Raymond: Excellent. The talent pool if you look at the different areas, geographies, Morocco we've been able to find a lot of very qualified individual, a lot of French speaking, as well. So that's great to support our Canadian and European operations. In Eastern Europe and India there is more English speaking, but again talent, significantly larger talent pool than here. So no, it is very -- not easy, but a lot easier to find people in those areas than in North America today.
Gavin Fairweather: Okay, great to hear. And then just lastly, for me, if I kind of look at the U.S. business, pre Vitalyst and Datum, it kind of looks like organic growth and constant currency is being kind of flat the last couple of quarters. And I know this business is a bit more maybe transactional in nature, maybe you can just discuss the sales pipeline and backlog for this business. And just kind of your overall expectations for the next few quarters?
Paul Raymond: Our backlog and sales pipeline is up year-over-year in the U.S. You have to take into consideration that the acquisitions, a lot of the growth that's coming from the acquisitions is from existing customers that we had prior to the acquisitions. So it's kind of a combination, when you look at organic growth, you have to be conscious of the fact that even though it's coming from the offerings, from the acquisition very often, it's because it's an existing customer that we have and the rest of the business that we've been able to cross sell to. So it's really a combination of the two, but now we're pretty happy with how the funnel is growing year-over-year and the backlog as well in the U.S. as a whole.
Claude Thibault: And just to add directionally what Paul wanted to say is our bookings in the U.S. excluding Datum and Vitalyst, so in our historical business, the bookings this year are higher than one year ago. So we're kind of comfortable with the trends over there, generally speaking.
Gavin Fairweather: Okay, great, congrats on the progress. Thanks for taking my questions. 
Paul Raymond: Thank you Gavin. 
Operator: Your next question comes from Divya Goyal from Scotiabank. Please go ahead.
Divya Goyal: Good morning, guys. Good quarter. Just on the Datum and Vitalyst discussion, I wanted to get some color on how should we think about the two businesses on a go forward basis, I did see that there was a slight step down between Q2, Q3 -- Q2 and Q3 revenue, so if you could just help us guide there? Thank you.
Paul Raymond: Sorry, we missed the beginning. Are you talking about the two recent acquisitions?
Divya Goyal: The Datum and Vitalyst acquisitions is what I was referring to, if you could help us see how could that acquisition -- how would that acquisition sort of pan out going forward, Q2, from the numbers, we have them at 13.3 million versus Q3 came in at 12.6 million. So, going forward trying to understand what would be the run rate revenue for the two acquisitions?
Claude Thibault: So maybe, obviously, those two acquisitions are very powerful cross selling platforms, because they bring new services, new expertise to Alithya, which we can bring to our clients. So the expectation is certainly for that growth to accelerate and be strong going forward. We commented directionally about Datum having a good sequential increase. Obviously, we're starting from a small base, so it's easy to pile up the numbers and show a good sequential growth. But we're expecting that to continue, the reception with our teams internally, and with some clients we pitched the technologies that they have is very good. So we’re kind of optimistic there with Vitalyst. And Paul touched on that as well, the learnings of certain services that sometimes are perceived to be less critical and maybe more cyclical. So over the short term, we're not really going to comment, but on the long term, mid to long term, I mean again, these are services that combined so well with everything we already do, in terms of post implementation. So when the team is great and the technology that they have to perform their services is very good so -- and they're also fairly small compared to our overall operation. So maybe we have a bit of a pause because of the economic cycle, but mid to long term, we remain very bullish on those two acquisitions.
Divya Goyal: That’s good color. Thanks guys.
Paul Raymond: Thank you Divya.
Operator: [Operator Instructions]. Your next question comes from John Shao from National Bank. Please go ahead.
John Shao: Hey, good morning guys, and thanks for taking my questions. Regarding your smart-shoring, I'm just curious about your client feedback so far on the outsourcing activities, what is their preference like or are they kind of indifferent, do you see any client pushback so far?
Paul Raymond: Yeah. Thanks for the question John. The feedback is very positive so far. So the reason why we call it smart-shoring is we try to be different from the other players and I'll try to explain this. Typically, the very large outsourcers will take a piece of business from a client and send it offshore and it's a kind of a soup to nuts send it over the fence, they deal with people over there and look at it this way. We work very differently. So the people that we have in our centers in Morocco, Eastern Europe, India and so on, they're part of a team, of an individual team or a project team. So a project team might be led in the U.S. or Canada or Europe. Project manager and the whole team but the people on the team might be located in Canada, the U.S., Morocco or India. So, we look at our smart-shoring more like an extension of our teleworking people. So the people there are actually part on a daily basis of a projects and progress. And so that also helps us with the recruiting in those geographies so that people feel they're part of a larger project, the global project and have more interactions with our teams and clients. So the feedback so far has been very positive.
John Shao: Okay, that's great color. Thank you.
Operator: Presenters, there are no further questions at this time. Please proceed with your closing remarks.
Paul Raymond: Well, thank you everybody for joining us today and we'll see you on our next call.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for joining and ask that you please disconnect your lines. Thank you.